Operator: Hello, and welcome to the Installed Building Products' Fiscal 2021 Second Quarter Financial Results Conference Call and Webcast.  As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Jason Niswonger, Senior Vice President, Finance and Investor Relations. Please go ahead, sir.
Jason Niswonger: Good morning, and welcome to Installed Building Products' Second Quarter 2021 Conference Call. Earlier today, we issued a press release on our financial results for the second quarter, which can be found in the Investor Relations section of our website. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements within the meaning of the federal securities laws. These forward-looking statements include statements with respect to the housing market and the commercial market, industry conditions and trends, our financial and business model, payment of a quarterly cash dividend, labor trends, our efforts to manage material inflation, supply chain and material constraints, our ability to increase selling prices, demand for our services and product offerings, the impact of the COVID-19 crisis on our business and end markets, expansion of our national footprint, products and end markets, our expectations for our end markets, including our large commercial and multifamily businesses, our ability to strengthen our market position, our ability to pursue and integrate value-enhancing acquisitions and the expected amount of acquired revenue, our diversification efforts, our growth rates and ability to improve sales and profitability, the impact of the COVID-19 crisis on our financial results and expectations for demand for our services and our earnings in 2021. Forward-looking statements may generally be identified by the use such as anticipate, believe, expect, intend, plan and will or, in each case, their negative or other variations or comparable terminology. These forward-looking statements include all matters that are not historical facts. By their nature, forward-looking statements involve risks and uncertainties because they relate to events and depend on circumstances that may or may not occur in the future. Any forward-looking statement made by management during this call is not a guarantee of future performance and actual results may differ materially from those expressed in or suggested by the forward-looking statements, as a result of various factors, including, without limitation, the duration, effect and severity of the COVID-19 crisis, any recurrence of COVID-19, including through any new variant strains of the virus and the related surges in positive COVID-19 cases. The adverse impact of the COVID-19 crisis on our business and financial results, our supply chain, the economy and the markets we serve, general economic and industry conditions, the material price and supply environment and the timing of increases in our selling prices, the risk that the company may reduce, suspend or eliminate dividend payments in the future and the factors discussed in the Risk Factors section of the company's annual report on Form 10-K for the year ended December 31, 2020. As the same may be updated from time to time in subsequent filings with the Securities and Exchange Commission. Any forward-looking statement made by management on this call speaks only as of the date hereof. New risks and uncertainties come up from time to time and it is impossible for the company to predict these events or their effect. The company has no obligation and does not intend to update any forward-looking statements after the date hereof, except as required by federal securities laws. In addition, management uses certain non-GAAP performance measures on this call, such as adjusted EBITDA, adjusted EBITDA margin, adjusted net income and adjusted net income per diluted share, adjusted gross profit, adjusted gross profit margin and adjusted selling and administrative expense. You can find a reconciliation of such measures to their nearest GAAP equivalent in the company's earnings release and additional reconciliation for adjusted EBITDA for earlier fiscal years in our investor presentation, which are available on our website. This morning's conference call is hosted by Jeff Edwards, our Chairman and Chief Executive Officer; and Michael Miller, our Chief Financial Officer. I will now turn the call over to Jeff.
Jeff Edwards: Thanks, Jason, and good morning to everyone joining us on today's call. As usual, I will start the call with some highlights on the quarter and then turn the call over to Michael Miller, IBP's CFO, who will discuss our financial results and capital position in more detail before we take your questions. IBP delivered another quarter of record revenues and profitability. Our strong operating and financial performance are a testament to the continued hard work of our team members and the valuable services we provide our nationwide customers each day. I am encouraged by the strengthening demand that occurred during the second quarter as sales increased 11.7% from the first quarter of 2021, and we we're able to manage through continued supply chain challenges and mostly offset the pandemic's disruptive and inflationary effects on our business. On a same branch basis, volume growth increased 17% from the prior year period, demonstrating the high demand we are experiencing for our installation services across many of our end markets. Most importantly, we achieved record quarterly profitability as GAAP net income increased nearly 47% to $1.26 per diluted share and our adjusted EBITDA increased almost 24% to $78 million. We continue to attract, develop and retain strong team members as a result of the entrepreneurial and empowering culture we have created and I'm proud to report labor trends remain extremely strong across IBP's platform. To everyone at the company, thank you for your continued contributions and dedication to IBP. So looking at our second quarter results in more detail. We continue to overcome several unique dynamics, underway, across our markets. As expected, the supply chain for many of the building products and materials we install remained constrained during the second quarter. We anticipate the supply chain challenges will continue for the foreseeable future. Our asset-light business model enables strong long-term growth, and we continue to benefit from the growth in our core single-family and multifamily markets, our national scale, buying advantage and our strategic focus on product, end market and geographic diversification. Overall trends throughout the U.S. housing industry remained robust during the second quarter of 2021 as total residential completions increased by 12.2% year-over-year, led by a 23% increase in multifamily completions and a 7.6% increase in single-family completions. Single-family housing demand continues to benefit from low mortgage rates and favorable demographics that have driven an increase in demand for entry-level housing. We believe these trends will continue, supporting further growth as the industry approaches stabilization in the years to come. The focus on entry-level homes from high-volume production builders continue to bolster activity at IBP. Our same branch single-family sales grew by 19% during the 2021 second quarter. Notably, price/mix trends improved sequentially from the first quarter as selling price increases, partially offset the mix shift within the single-family end market. A continuation of higher selling prices relative to prior year periods, combined with the return to normalized end market mix of revenue, is expected to further improve price mix through the back half of 2021. We anticipate that the housing industry's growing focus on the construction of entry-level homes is expected to help improve affordability in the future and will continue to provide support to our core single-family end market. In addition, based on the U.S. Census Bureau housing data, the amount of authorized, but not started single-family units at the end of June 2021, was up over 50% from the end of last year and represents the highest level in nearly 15 years. We believe the significant increase in authorized, but not started single-family units, is indicative of a strong backlog for single-family home construction and continued demand for our installation services. Turning to our multifamily end market. Demand remains strong within this segment of the housing industry as U.S. multifamily home completions rose by 23% over the prior year period and nearly 30% above the first quarter of 2021 results. Although our multifamily unit sales grew 14.1% in 2Q '21, the continued disruption within the material supply chain limited our same-branch sales to 3.5% over the prior year period. The COVID-19 pandemic combined with material supply chain issues, also continued to impact sales within our commercial markets. Our commercial end market sales increased 15% for the second quarter as a result of recent acquisitions, while same-branch sales declined 5.3%. The reduced commercial sales volumes have impacted efficiencies in our large commercial end market impacting gross profit. As a result, we have started to realign our cost basis and improve efficiencies within our various large commercial markets. Despite recent trends within this market, bidding activity remains strong. Project bid acceptance continues to improve, which we believe supports a recovery in this end market and strengthens our expectations for stabilizing trends in the second half of 2021. As of the end of the second quarter 2021, our large commercial backlog, which consists of projects forecast to be completed 12 months or more in the future, exceeds $100 million, up from $90 million in the first quarter of 2021. We continue to believe our large commercial end market has reached the inflection point and looked to revenue improvement in the back half of 2021. The large commercial construction market continues to represent a significant long-term growth opportunity for IBP, and we remain focused on improving our operational efficiency, while expanding our exposure within compelling commercial markets across the U.S. Looking at our acquisition strategy in more detail. We continue to prioritize profitable growth through our proven strategy of acquiring well-run installers of insulation and complementary building products. During the 2021 second quarter, we acquired a Colorado Springs based installer of drywall, framing, ceiling tiles and fire stoppings and insulation for commercial customers with annual revenue of approximately $11.5 million. We also acquired a Louisiana-based provider of glass and mirror installation services to residential and commercial customers with annual revenues of approximately $2.6 million. The 5 acquisitions we have completed to date in 2021 represent approximately $79 million of annual revenues. Based on our current acquisition opportunities, we feel confident that we will exceed the targeted $100 million of acquired revenue for 2021. More broadly, our current outlook for the remainder of the year remains encouraging. The strong housing trends for 2021 are in part driven by the generational shift amongst millennials creating demand for entry-level housing. In addition, although, the number of existing homes for sale in the U.S. has increased slightly in the past few months, supply remains tight representing less than 3-month sales. We believe this supports continued demand for move-up in custom homes. We anticipate the installation supply chain to remain constrained for the remainder of the year despite 2 fiberglass facilities coming back online during the second quarter and recently announced manufacturing capacity expansion efforts at one of our main fiberglass suppliers. In addition, materials needed for spray foam applications continue to be in short supply after chemical processing facilities went offline during the February winter storms and demand for spray foam components has been high in other business sectors. We expect this trend will continue throughout the remainder of 2021. As we stated last quarter, manufacturers, including large fiberglass suppliers announced price increases that went into effect in April and more recently, an additional fiberglass price increase occurred in June. In the current demand environment, we are performing well through the material inflation environment in realizing the selling price increases with our customers. As the demand for housing continues to rise, we anticipate the favorable pricing environment to continue. With access to labor, a strong position with our customers and suppliers and healthy housing industry demand dynamics, we believe we are well positioned to navigate the 2021 inflationary environment better than any other period in our history. It is also important to note that insulation represents a small portion of the total cost to build a home, which we believe allows for greater flexibility to maintain margins by prudently increasing prices with our customers. With this overview, I would like to turn the call over to Michael to provide more details of our second quarter results.
Michael Miller: Thank you, Jeff, and good morning, everyone. Net sales for the second quarter increased to a quarterly record of $488 million compared to $394 million for the same period last year. The $94 million increase or 23.9% year-over-year improvement in sales was mainly driven by a higher volume of customer jobs completed during the quarter, growth in other complementary products and the revenue from our recent acquisitions. On a same branch basis, net revenue improved 13.1% from the prior year quarter, driven by single-family same-branch sales growth of 18.9%. Multifamily same-branch sales increased 3.5%, which resulted in a combined total residential same-branch sales growth of 16.2%, outpacing total U.S. housing completions growth of 12.2% during the second quarter. The pandemic's lingering effects continue to impact our commercial end market, and same-branch commercial sales decreased 5.3% in the 2021 second quarter, which was a significant improvement from the 14.5% decline last quarter. Large commercial same-branch sales were essentially flat in the quarter. Adjusted gross profit margin declined 130 basis points to 31.1% compared to 32.4% for the same period last year as a result of material supply shortages, increased fuel costs and lower efficiencies at our large commercial construction operation. However, on a sequential basis, adjusted gross margin increased 240 basis points from the 2021 first quarter. We estimate the material supply shortages has an additional impact of $2.8 million to $2.9 million on gross profit during the quarter, as we have continued to purchase a small portion of our insulation products through distributors and retail channels. Administrative expenses as a percent of second quarter sales were 13.6%, a 140 basis point improvement from the prior year period. Adjusted SG&A as a percent of second quarter sales improved 150 basis points from the prior year period. On a GAAP basis, our second quarter net income increased 46.9% from the prior year quarter of $37.2 million or $1.26 per diluted share. Our adjusted net income improved 42% to $47.1 million or $1.59 per diluted share compared to $33.2 million or $1.12 per diluted share in the prior year quarter. We believe material supply shortages that forced us to purchase certain materials, out of distribution and home centers, impacted earnings per share by approximately $0.07 per diluted share. During the second quarter of 2021, our acquisition activity drove an increase in our recorded amortization expense to $9.2 million compared to $6.7 million for the same period last year. This noncash adjustment impacts net income, which is why we continue to believe that adjusted EBITDA is the most useful measure of profitability. Based on the acquisitions completed year-to-date, we expect third quarter 2021 amortization expense of approximately $9.4 million and full year 2021 expense of approximately $36.3 million. This figure will change with any subsequent acquisitions we close in future period. Adjusted EBITDA for the second quarter of 2021 improved to a quarterly record of $78 million, representing an increase of 23.7% from $63 million in the prior year. Adjusted EBITDA as a percent of net revenue was 16% for both the 2021 and 2020 second quarters and improved 350 basis points from 12.5% in 2021 first quarter. Same branch incremental adjusted EBITDA margin was 13.3% for the second quarter. Similar to the impact on gross profit, we estimate that material supply shortages during the quarter impacted adjusted EBITDA by approximately $2.8 million to $2.9 million, reducing our adjusted EBITDA margin by approximately 60 basis points. For the 2021 second quarter, our effective tax rate was approximately 19.4%, and we continue to expect an effective tax rate of 25% to 27% for the second half of 2021. As we communicated in our press release, the lower second quarter tax rate reflects a tax benefit related to the change in stock price at the time of vesting during the second quarter of 2021 and the price at the time that restricted stock was granted. While it is typical to experience a tax benefit or impact from this dynamic during the second quarter of each year, the change in stock price from the grant date to the vesting date, during the second quarter of 2021, was more substantial than prior years. Now let's look at our liquidity, balance sheet and capital requirements in more detail. Our business model continues to generate strong operating cash flow. The 3 months ended June 30, 2021, we have generated $83.4 million in cash flow from operations compared to $105.5 million in the prior year period. The year-over-year decline in operating cash flow was primarily associated with higher working capital requirements needed to support robust year-over-year sales growth. Our asset-light business model does not require a significant amount of capital expenditures, and our primary capital requirement is to fund working capital. At June 30, 2021, we had $168 million in working capital, excluding cash and cash equivalents. Capital expenditures for the 6 months ending June 30, 2021, were $20.3 million, while total incurred finance leases were $1.1 million. Capital expenditures and finance capital leases as a percent of revenue were 2.3% for the 6 months ending June 30, 2020 compared to 2.1% for the 6 months ending June 30, 2020. At June 30, 2021, we had total cash and short-term investments of $203.9 million compared to $231.5 million at December 31, 2020. Total debt at June 30, 2021, was $572.5 million compared to $569.9 million at December 31, 2020, and $574.6 million at June 30, 2020. Our net total debt was approximately $368.6 million at June 30, 2020, compared to $338.4 million at December 31, 2020, and $322.1 million at June 30, 2020. At June 30, 2021, we had a net debt to adjusted trailing 12-month EBITDA leverage ratio of 1.4x, well below our stated expectation of a leverage ratio of less than 2x. We continue to prioritize profitable growth through our proven strategy of acquiring well-run installers of insulation and complementary building products. Year-to-date, we have invested over $67.7 million in acquisitions compared to operating cash flow of $83.4 million. We also continue to return capital to shareholders. And today, we announced that IBP's Board of Directors approved our third quarter dividend of $0.30 per share, which is payable on September 30, 2021, to stockholders of record on September 15, 2021. Year-to-date, the company has not repurchased any shares of its common stock compared to $15.8 million of shares repurchased during the same period last year. $100 million of availability remains under our current share repurchase program, which expires March 1, 2022, unless extended by our Board of Directors. We continue to believe we have considerable financial flexibility, as we have nothing drawn on our $200 million revolving line of credit, a strong cash position, staggered debt maturities and limited financial covenants. In addition, with no significant debt maturities until 2025 and strong liquidity, we have considerable financial resources to invest in our long-term growth opportunities. With that, I will now turn the call back to Jeff for closing remarks.
Jeff Edwards: Thanks, Michael. I'd like to conclude our prepared remarks by, once again, thanking IBP employees for their hard work, dedication and commitment to our company during this very challenging period. Our success over the years, and more recently, is made possible because of all of you. Operator, let's open up the call for questions.
Operator:  Our first question today is coming from Michael Rehaut from JPMorgan.
Michael Rehaut: One question, I wanted to get a sense of pricing and price realization as this year has progressed. You talked about managing the cost increases or the price increases from the manufacturers. Just wanted to get a sense for, if you look at the first quarter and the second quarter and then towards the back half of the year, if there's been any type of lag that you've experienced passing those price increases through in the first and/or second quarter, what that impact might have been? And the outlook for the back half of the year?
Michael Miller: So this is Michael. I think what is important to note is that the price/mix growth that we disclose, again, includes both the combination of price and mix, as we talked about for the past couple of calls. And we've seen, as we talked about in the first quarter call, sequential -- significant sequential improvement in the price/mix. But as it relates particularly to insulation, during the quarter, our single-family insulation, alone, price/mix was up mid-single digits. What's important to note in there is that's a combination, again, of price and mix. And one of the most -- the strongest headwinds associated with mix that we've talked about is not just the other products, but is the mix shift towards the production builders. We're seeing really strong growth within our production builder business, and that is a pretty heavy headwind to mix. So the fact that in the quarter, the price/mix was mid-single digit for single-family insulation, we think it's pretty indicative of our ability to kind of maintain price relative to the cost inputs.
Jeff Edwards: Well, this is Jeff. There's always a little bit of a lag. I mean that's just inherent in the process. But across the board, we could say it's a very favorable time to get price increases.
Michael Miller: Yes. And I would say that for fiberglass products, we've still been getting fairly good insight from the manufacturers in terms of when they announce a price increase and when it becomes effective. That's not necessarily true of all of the other products, that we install, where sometimes you're actually getting the same-day price/mix changes. So it's just a little bit different dynamic now unlike any we've seen in the past couple of decades.
Michael Rehaut: Right. No, I appreciate that. And I guess, a couple of days ago, your competitor mentioned that there was maybe -- they experienced perhaps about 100 basis points of a lag in passing through the price increases from the manufacturers in the first quarter, and that was effectively de minimis for them, at least in the second quarter, so that there was some type of maybe a little greater lag and they highlighted that due to elongated build cycles that just kind of caught them. There was a little bit of a gap in just completing the work more than anything else, but that, that had really narrowed materially in the second quarter. So I guess, that's really what I was looking for. If that makes to you, if that's something kind of a trend that you've seen in your business in terms of the price pass-through?
Michael Miller: Yes. It's interesting that in -- I would say, in the second quarter, the lag or the backlog has actually got extended and built times have even extended more than the first quarter. But I think what's happened to allow better price realization in the second quarter and we see this going into the back half of the year, is that builders' behavior is changing in the sense that they are limiting and this has been widely discussed that they're limiting orders, limiting sales in order to have a much better sense of what the full cost of construction of the house is going to be given the inflationary environment. And as a consequence, I think what you're seeing is for all building products that we're able to get on top of the price inflation a little bit faster than we would certainly in the first quarter or in a typical period because of the actions that the builders were taking.
Michael Rehaut: Okay. Secondly, I was just hoping to get a little bit of a sense on the gross margin. On an adjusted basis, you've been accounting for or adjusting for the gross profit hit of 60 basis points. The year-over-year decline was a little bit greater this quarter than last quarter. Last quarter, if you adjust for the storm impacts. So I was hoping to go into the drivers of that decline, again, excluding the 60 bps impact and how we should think about the back half of the year as well on a year-over-year basis?
Michael Miller: Yes. So I think one thing that is important to keep in mind is that our second quarter adjusted gross margin last year was the highest we ever reported as a public company. So the comp there, and we talked about this in the first quarter call, the comp there was very difficult. But I think there's a couple of other things that we would point out besides just buying that as distribution and home centers, which was about 60 basis points that we talked about. Actually, we had, and as Jeff mentioned in his prepared remarks, we definitely had some challenges within the heavy commercial business, particularly Alpha, which makes up the vast majority of the large commercial business for us, where it was also about a 60 basis point headwind to gross margin. And clearly, we, like everyone else, had some headwinds, about 40 basis points from fuel. Now I will say with the 40 basis points from fuel, if you look at our total vehicle costs that are in cost of goods sold for the quarter, it was kind of flat second quarter '20 to second quarter '21 because we had some efficiencies in other aspects of the cost of running the fleet. But there's no doubt that fuel costs are going to be -- continue to be a headwind relative to last year, although, we're starting to catch up to that, quite frankly, as we go into half of the year.
Michael Rehaut: Okay. One last quick one. You mentioned single-family insulation price mix up mid-single digits for this quarter. What was it in the first quarter?
Michael Miller: We haven't disclosed that, but it was not -- sequentially, it has improved in the second quarter from the first quarter.
Operator: Our next question today is coming from Susan Maklari from Goldman Sachs.
Susan Maklari: Can you hear me?
Jeff Edwards: Yes.
Susan Maklari: My first question is, you obviously talked a little bit about some of the manufacturers adding some capacity, making some changes to their production. Can you just talk to how you're thinking about that coming through and what the flow-through will be for your business and the ability to get materials?
Jeff Edwards: I would say -- Susan, this is Jeff, that really everything that is kind of being talked about is really on the margins, honestly. I mean the industry, from a capacity perspective, is wound pretty tight right now. And what we continue to face, and this is really with -- many times with all the manufacturers is when everybody is running 100% all out in every facility that they have, this happen. So one positive thing happens or one little increase, let's say, in a line added here or there, it's a little positive movement. But invariably, it feels like something else happened where there's not a big effect. So in my opinion, and I think they would say the same thing. I think given the demand scenario that's out there, this is a long-term situation in terms of supply being tight.
Susan Maklari: Okay. That's helpful, Jeff. My next question is around...
Jeff Edwards: To make it a little better, obviously, but they're still trying to recover to a degree from kind of the curtailment that happened with COVID because not only did it not slow things down, honestly, over time, it's spread up even a bit. And for them to get back on top of the mix, their inventory mix that they need, which is part of what is really is the crux to what is causing our problems in terms of having to run to retail or distribution. It's not that it's a full trailer load or anything like that, for us, typically, it's the odd ball item that they may not have in their mix, which is frustrating, but I understand it's hard for them to fix when they're running flat out and selling everything they really can.
Susan Maklari: Yes. Got you. Okay. My next question is, when we think about the breakdown between volume and price mix in the quarter, is there anything regionally that you would call out, especially as we kind of got past some of that weather that impacted Texas and some of those Southeast regions, earlier this year. Anything there that we should just be aware of or thinking about?
Jeff Edwards: Yes, I think, in the second quarter, which is probably no surprise, I mean -- and I think we talked about this in the first quarter that there was very balanced growth in the first quarter between our various regions. I would say that, that tilted in the second quarter more towards the South and the West. And for us, the South includes Florida and Texas. And just given the strength that we've talked about with the production builders and they're over-indexed to those markets. And we think we have pretty good market share with them in those markets. Clearly, we're seeing now greater sales growth in those markets. And because -- and again, we've talked a lot about this, the production builders are definitely a headwind to mix, and they are as well a headwind to gross margin. But as you saw this quarter, we got very good SG&A leverage. And that's really the efficiency of doing that work with those production builders. So we like that work. It is a headwind to price mix, and it's a headwind to gross margin, but ultimately, it is good margin -- EBITDA margin work.
Operator: Our next question today is coming from Trey Grooms Grooms from Stephens.
Noah Merkousko : This is actually Noah Merkousko on for Trey. So my first question here, clearly, volumes picking up here, a very strong demand environment, and you continue to run into some supply constraints where you're having to go to, like you said, retail and others to get supply? Also sounds like that's going to continue. But if demand and volume continues to run this hot, what's the risk that you're going to have trouble even getting product from retailers? Is that a significant risk that you're thinking about to volumes as you go into the back half of this year?
Jeff Edwards: I think so. I mean, honestly, we still believe that the trades and even land, et cetera, that comes before we go to the house are at least as constrained, if not more constrained certainly then are. So I think, right now, I think in everybody's opinion, you'd say that $1.6 million is kind of where we're building to currently. But -- it's flex the times, I mean, based on orders and sales to as much as $2 million. And that's what the pain is, it's getting from here to there. And we've said, I think, on many calls that ultimately, it's going to take time to rebuild that kind of capacity into the U.S. home building industry and we're going through a little bit of those growing pains right now. But year-over-year the capacity is going to come back to build out.
Michael Miller: Yes, and if you just look at LTM completion, they were like $1.350 million that's total, obviously. But June starts, we're running at almost $1.650 million. So there's a very significant disconnect between kind of starts and completions. And I think there are a lot of people that have talked about it and I believe we talked about it in the first quarter. But we believe what's going on right now with builders moderating their orders, right? Their sales, but yet accelerating their starts is absolutely what needs to happen, right? Because not just insulation and not just the products that we install, but the entire building products channel is just extremely stressed and disrupted right now. What Jeff said relative to fiberglass working at 100% capacity. And one little thing causes a lot of disruption. That's true of just about any building product now. And what we need is a bit of a pause, quite frankly, to get caught up so that we're all working. I'm not talking about us, I'm talking about the whole industry, and even for the builders as well, they're all working in a much more efficient process because the way that it's going right now, I'm sure we love having a lift demand, but it's not the most efficient way for the industry to work. And we pointed out the premium for buying out of distribution and buying out of retail, it's a painful number to us. We frankly don't, obviously, want to be doing that. But in the scheme of things, it really is -- it's a relatively small percentage of what is less than 2% of what we're buying on a monthly basis, daily basis that we're struggling to get. And so it very right, and It's inefficient. But for the most part, the capacity is there to get done what we're doing it just struggles the last little bit. And usually, it's an odd ball product for us in terms of fiber.
Noah Merkousko : All right. That makes sense. I appreciate that. And then just a quick follow-up here. Again, building on the margin discussion, a few headwinds in the quarter. nothing massive, but the organic incremental was maybe a little lighter than we expected. Do you think the 20% to 25% is still a good expectation for the full year?
Michael Miller: Yes. I mean the -- so in the quarter, backing out the headwinds that we talked about relative to Alpha and purchases from the distribution and home centers, same-branch incrementals would have been at about 23%. So kind of in the middle of that 20% to 25%. So -- but for some of these headwinds that we're talking about, yes, we continue to believe 20% to 25% makes sense. As you know, typically, we get better incremental margins in the back half of the year and in the first half of the year in a normal year. Clearly, last year was nothing normal about it. So it's not a great comparison. But yes, we think that certainly, if we go into the back half of the year, particularly given the pricing actions we're taking, absent some of these headwinds that we've talked about that 20% to 25% incrementals makes sense.
Operator: Our next question is coming from Adam Baumgarten from Zelman.
Adam Baumgarten: I guess maybe just thinking about the seasonality this year, just given the level of backlog out there. And I guess this would be weather permitting, but should we expect another kind of much seasonally stronger than usual quarter and 4Q at this point?
Jeff Edwards: Obviously, it depends, right? But if things play out the way that we just described in terms of the moderation of order growth, kind of imposed by the builders themselves. And it can create a more steady state sort of building environment. I think you could see -- and again, we've talked about this before. I think you can see a less seasonal kind of year than we would have had in the past. I mean there'll probably be some level of seasonal pickup in the third quarter as there always is. But quite frankly, as we've been talking about it, and everybody is working kind of flat out right now. So I don't think you're going to see kind of a big fourth quarter bump, but there really wasn't a winter season. I mean, and I don't mean from a weather perspective. I mean there was enough backlog carried in from the third and fourth quarter of last year to make the first and second quarter of this year pretty robust. And I think that it's just going to be a less seasonal year because there's so much backlog. And I think that's where your question was going.
Noah Merkousko : Yes. No, I totally adjusting for weather. So yes, that's where I was getting at. I guess maybe switching gears to commercial. Large commercial seems to have done a little bit better than light. Is that simply just a comp issue? Are you seeing weaker trends in light commercial? It seems like the message we've been hearing is that, that tends to follow residential, which has been quite strong. Just maybe some more color as you break out the commercial business.
Jeff Edwards: Yes, the light commercial absolutely follows residential, and we feel very good about that business. But I will say we had some incredibly difficult comps from some very, very large projects in multiple geographies throughout the country. And that's why you're seeing that number.
Operator: Your next question is coming from Ken Zener from KeyBanc Capital Markets.
Ken Zener: The -- just I had a little nuance question since you're disclosing it. The higher gross margin related to retail, should we assume -- and I realize it's just -- you're talking about mix, it's a small piece of your overall business, but are those like kind of whole projects? Because it seems -- are those whole projects basically where the guidance that are going to your warehouse just has to go to Home Depot or Lowe's to pick it up? Is that what I assume, and I assume the dollar value, the headwind is essentially the gap between what you would buy at scale and what you're paying at retail. Is that correct?
Jeff Edwards: Yes, that's correct. It is the delta between what we would pay for it and what we're paying for. But we -- not -- full projects at all. It's single items in some instances -- there's a truck -- we didn't really pointed this out, but the trucking industry is wound as tight as it can be, too. So the confirmation of orders are not -- are confirmed even, let's say, but then there's a trucking issue and it's as tight as it is right now. It's -- you get to the point where, yes, sometimes you're running there to buy 8 bags of what should be a normal product, but it's just that tight. So rather than send guys home. And I'm not going to say that sometimes that hasn't happened, but we don't -- we never -- we have tried to quantify the inefficiencies that come with this, just simply the premium associated with the raw material. But it's really -- it's a case-by-case basis, on a spot basis rather than sending somebody home or because it's the last thing you need to finish a house, let's say.
Ken Zener: Right. Good. I just -- I wanted to get a little clarity since you guys were focused on that. Obviously, you're watching the homebuilders talk about slowing orders, building up their inventory, which is really what your business will come from. You probably also noticed their margins have expanded nicely. Is there something that keeps you all within this -- I realize when you back out the material costs and Alpha, you're in your normal range, Michael. What keeps you guys from getting a little bit tighter on right pricing or narrowing the lag, right? I understand the customer mix issue, and that's fine and gross margin, SG&A and leverage. That all makes sense to me. But why do you think it is that the installers, in general, don't have tighter pricing in such a constrained environment? Because it seems as though it's not going to get any better. I'm not negative. I'm just saying if not now, when?
Michael Miller: I think to a large extent, that's true. I think there's still, as Jeff was saying, there is a lag. I think the lag is getting tighter than it has been in the past. But quite frankly, there's a lot of things in the mix because I know we have a tendency to focus primarily on fiberglass insulation because it's the largest thing we do on the single-family side. But as you were saying, as an answer to an earlier question, I mean, while the fiberglass manufacturers have been pretty disciplined in giving us enough adjustment time, if you will, from announced to effective price increases, everything else that we install on, including has not fallen into that category. So that's just presenting a bit of a lag issue, but we're working hard to get caught up on that. And to your point, now is the time to get price and we're working hard to get that price.
Jeff Edwards: Ken, this is Jeff. So Jeff Hire isn't able to be on the call this morning, but or to be in the room even less times he is, but he's been in the industry, as we know, for, I think, 43 years, 31 years at Owens Corning or so here. We had a first the other day, he announced that an ops meeting that we have every couple of weeks. We actually received a 25% price increase from a supplier on top of a 26% price increase from the same supplier that had not yet taken effect. So I don't know how you get on top of a 51% price increase. I'd just point it out for you. It is the first time in a price increase on top of a price increase that has not yet taken effect, it was 25...
Ken Zener: And does that sound -- yes, because that's what we obviously focus on fiberglass for all sorts of reasons. But I mean, it -- that sounds like gutters or steel or something like that, where -- just is what it is in the spot market, and there's no way around it. Is that an accurate guess?
Jeff Edwards: Yes. I mean there's -- I mean there are just as we were saying, I mean, there is so much constraint within the materials environment right now. And it stems from steel, like steel, the transportation issues, spray foam for an insulated garage door is hardly available, people are closing homes and putting curtains up as opposed to garage doors. I mean there's just a lot of disruption going on right now. And we're doing an incredible job of managing through it, but it's certainly -- it puts a lot of pressure on our field team to manage through it. But I think, again, to your point, Ken, now is the time for us to get the pricing to cover all this. And the builders, again, read -- all these small dollar value things that need to get done and the builder gets it. So -- and clearly, as it was pointed out earlier, it's not as if their gross margins are hurting.
Operator: Our next question today is coming from Mike Dahl from RBC Capital Markets.
Mike Dahl: Just wanted to stick with kind of the product cost dynamic. Can you just -- when we think through kind of the back half of the year, it sounds like things are still going to be tight. You do, with the backlog you're seeing probably have, in absolute terms, sequential increases in revenues coming. So how should we be thinking about the excess product cost dynamic and any hangover from the Alpha dynamics that you're talking about. I understand that ex those, you're still looking for the 20, 25 incremental, but help us ballpark what those incremental costs can be, please?
Michael Miller: Well, I guess, I would say that this time last quarter, we felt, based on everything that we knew that we would see continued improvement as we went through the back half of the year, particularly on the sourcing of material. We've been disappointed by, quite honestly, a lot of our suppliers that they, quite frankly, haven't been able to get on top of it as much as they said they would. So we think that we're going to continue to have this headwind, quite frankly, certainly through the rest of the year, hopefully, into '22 as it relates to that. As it relates to Alpha, we believe the headwind is going to diminish as we go through the year. They have been getting good bid acceptance and bid activity. Fundamentally, that business is pretty decent. We've been very, very pleased with some of the recent commercial acquisitions that we've done coming in at good margins which you see reflected in our acquisition EBITDA margin contribution in our disclosures today. So ultimately, we feel good that the large commercial business makes a lot of sense for us. We're just facing some headwinds there right now. It's incrementally going to get better, but it's not going to be where we want it by the end of the year, meaning Alpha.
Mike Dahl: Okay. That's helpful. And my second question is a follow-on to Alpha or heavy commercial. Because you quoted the backlog level. And clearly, a year ago, you were kind of cycling down and backlog a bit or presumably you were. So a, could you help us understand how that $100 million in backlog compares against maybe 2019 levels? And then if you think about that backlog being up 1.11% year-on-year at this point, how should we think about the inflection to growth that you're expecting in the back half? Is it kind of modest step-ups in 3Q and 4Q? Or is there anything that's more of kind of a step function change as you get into the third quarter?
Michael Miller: Well, I think that the third quarter and fourth quarter of this year are easier comps, certainly than the first quarter of last year to the first quarter of this year. Obviously, we improved sequentially in the second quarter to the first quarter on a same branch basis from a sales perspective. As we did disclose and as you pointed out, the backlog is up kind of low double digits, I would say that the mix from '19 and the mix from '20, there's no surprise here, has changed pretty dramatically in terms of what's in the backlog, right? So no surprise, pretty significant decline in lodging, hotel, transportation and very significant increases in health care, multifamily actually entertainment, believe it or not. So I would say that the complexion of the backlog has changed consistently with what we've talked about in the past. And we believe that we're continue to realize that kind of higher level of backlog over the next 12 months.
Operator: Our next question today is coming from Reuben Garner from Benchmark.
Reuben Garner: Maybe just to clarify on the seasonality comments that you've made. Is it safe to say that you mentioned you're kind of running full out in the second quarter, and I assume the industry is like, is the biggest delta between the second half of the year, like third and fourth quarters versus the second quarter going to be incremental price increases that you layer through? Or does the capacity coming online from some of the suppliers allow you to grow volume off of what you did in the second quarter? Just trying to understand what that looks like. And then as a part of it, does this sort of mean that we should anticipate Q1 and Q2 of next year would remain elevated in a big way relative to normal seasonality just because of how tight the industry is?
Jeff Edwards: Yes. So yes, all 3 of those, I think. So yes, the back half of the year, we think there's room to improve pricing. As you know, there was a price increase in June. And it took effect in June. There was -- so going forward, that's going to be a tailwind. There is like -- that is going to be tight, but there is marginal improvement out of a couple or 3 of the fiberglass manufacturers in terms of bringing on a little additional capacity, both in blowing wool, which as you know, towards the second half of the year, to demand shifts heavier into blowing wool, right now, much more pressure on past than there is blowing wool currently, but that changes a little bit. And quite specifically, a couple of those capacity additions are in blowing wool. And then finally, yes, I think next year, first and the second quarter won't feel very much like a seasonally down period of time.
Michael Miller: Yes. And I would say that the one comment that I would add to that is we would still expect in the third and fourth quarter that it's more volume than it is price mix, right? So that even though we think that we're going to continue to get and see constructive as we've talked about in the single-family insulation business, will be constructive on price. It's still always going to continue to be heavily volume driven from a growth perspective as compared to...
Reuben Garner: On a year-over-year perspective?
Jeff Edwards: Correct, but not necessarily.
Reuben Garner: Okay. Got it. And then my second question is, has a fourth price increase this year -- later this year, been communicated to you guys? And if they're -- if not, if one were to come, would that change your perspective or outlook on the incremental margin front just because you're constantly -- or you're in a situation where you've got another price increase or cost increase to deal with?
Michael Miller: Yes, I think it would depend upon...
Jeff Edwards: There's not a board. At least not now. Not ever announced.
Michael Miller: Yes. And I would say that as long as they continue with the cadence of providing sufficient time between announced and effective. And given all the things that we talked about earlier in the call, just given the kind of pricing dynamic in the market we would think that it would continue to be constructive. But that being said, I mean, while single-family fiberglass is the largest part of our business, there are a lot of other products that we install and they're not going at the same cadence that the fiberglass guys are in terms of some of the announced price increases in their effective date. So there's a lot of moving pieces, but the reality is the demand environment is very solid. We expect it to continue, particularly when we look at the elevated levels of backlog. I mean, as Jeff mentioned in his prepared remarks, the authorized, but not started number is at 15 year right? And we think that's extremely constructive for pricing and for volumes going forward.
Reuben Garner: Understood. Congrats on the quarter and good luck through the rest of the year.
Operator: Our next question today is coming from Stephen Kim from Evercore ISI.
Stephen Kim: Just want to clarify one thing. First, I think you mentioned an incremental margin, if you -- in the second quarter of 22% if you had sort of added back supply chain disruptions. But from Page 12 of your release and just if you take the $2.85 million, I think you said was the impact, I coming up with 19% adjusted incremental margin. So I just want to make sure that there wasn't something else you were adding other than the $2.8 million to $2.9 million or if maybe that number was -- I heard it wrong.
Michael Miller: Yes. Actually, so -- and I may have said it incorrectly, so I apologize for that. But it's actually 23% and that is a combination of both the distribution component that you talked about, plus the headwinds from Alpha that they presented to the incrementals in quarter.
Stephen Kim: Okay. Got it. Got it. Okay. And so that must have been another $2 million or something like that, I guess, right?
Michael Miller: Yes. Just a little over $2 million.
Stephen Kim: Yes. Okay. That makes sense. Okay. There's been a lot of discussion already. I think a lot of the questions that I would have were already asked, but I think 2 more that I had was, one, your inventory level rose pretty significantly in the quarter, about 16% sequentially. I was wondering if you could talk a little bit about that. What that was is that -- that seemed to me to be a little bit more than I would have expected a little more than normal. Can you just sort of talk about what was behind that increase?
Jeff Edwards: Really, it's in a large part to support growth in the business, right? So on a sequential basis, our sales increased from the first quarter and the second quarter about 12%, right? And we obviously need inventory to support that. Clearly, as we've been talking about the inflation, right, that plays into the carrying value of inventories because they're at higher prices than they were at the end of the first quarter and certainly at the end of the year.
Jason Niswonger: And this is Jason. I would also add that would include inventory brought on with acquisitions.
Michael Miller: And that gets a little misleading, right, because -- so we did the Intermountain West acquisition, which is a decent-sized acquisition and their revenues are only in the numbers that you see for a very small portion of that.
Stephen Kim: Okay. That makes sense. Okay. Great. How would you generally describe your inventory levels? I would think with supply chain disruptions and maybe even having to go out and -- to your competitors and buy some stuff here or there to get jobs done. I would think that inventory levels would generally be quite low. Would you still say that you're operating at the level of inventory turns that are lower than you would expect going forward?
Michael Miller: It really...
Stephen Kim: Sorry, more rapid than you would expect going forward? I missed that.
Michael Miller: Yes, it's very product specific, so particularly with, say, fiberglass and spray foam. Our inventory days as it relates to those products is much lower than it normally would be. But there are some other products where just because, right now, there is availability of those products, we would be stacking on them. So for example, in our Charleston Shelving & Mirror business, our inventory days is extended from what it typically is. So it's really just question of trying to manage what we can get, and we have the space to put it in inventory and we're doing it just because as you talked about earlier, things are tight across everything. And to the extent we can get the material we want especially at a lower price, we're going to buy it.
Stephen Kim: Yes. I guess that makes sense, yes. So definitely a mixed bag depending on the product and the availability. Okay. Going back to the incremental just one thing I forgot to ask about the acquired -- the incremental from acquired was quite strong. I imagine that can fluctuate from quarter-to-quarter, but was curious if there was anything worth calling out with respect to the strong incrementals associated with the acquired reps?
Michael Miller: I want to go back to an earlier question, where we were talking about the large commercial business. We've been very encouraged with the recent acquisitions that we've done in that space. And quite frankly, the Intermountain West acquisition that we just talked about was very good transaction for us. So you're absolutely right. It fluctuates quarter-to-quarter depending upon what's in that acquisition bucket, but we've been pleased with the recent acquisitions that we've done. And I would say as well, and I don't think we really talk very much about this, but our acquisition pipeline is the deepest it's ever been in our history. And as a consequence, really, over the past, I would say, 6 to 12 months, we've gotten more sensitive to acquiring higher-margin business. So I think that's reflective of the margin there.
Stephen Kim: Got it. And would I be right in guesstimating that the overall Alpha sales this quarter were somewhere in the vicinity of $40 million to $50 million?
Michael Miller: We do not...
Stephen Kim: Sorry,sorry, $35 million to $40 million. I read the wrong line, sorry, $35 million to $40 million.
Michael Miller: For the quarter? Yes.
Stephen Kim: For the the quarter.
Michael Miller: Yes, that's very reasonable, yes. I would say that they were a little bit of a higher end of that estimate, excuse me.
Operator: Our next question today is coming from Phil Ling from Jefferies.
Unidentified Analyst: It's actually Nagi on for Phil. Just had kind of a broader industry question. We're seeing broad inflation across building products, builders are taking price, existing home prices are up. So just given a lot of those dynamics starting to hear some concerns around affordability, but it seems like definitely within your customer base, you're seeing more of a shift towards entry-level homes. So just wanted to get your thoughts on where you think we are with an affordability dynamics starting to impact demand and if there's anything you're monitoring around interest rates that you would start to expect more of an impact?
Michael Miller: Yes, I would say from an affordability perspective, right now, we're more concerned about inflation than we are interest rates, although that's sort of a counterintuitive statement because if you're worried about inflation, ultimately, you have to be worried about interest rates, right? But clearly, what we're seeing from, again, all building products, as you pointed out, what the builders are realizing from price and what the existing home market is doing. I think that it is putting a bit of a pause on people pulling the trigger to buy. But I think fundamentally, the demand -- the underlying demand is there. And I think what's interesting, and I don't think a lot of us would have necessarily call this a year ago is that the tightness within both the new and existing single-family market has created intense demand more so than I think what most people would have expected for multifamily, right? Because people -- the household formation that we've all talked about and the demographic change that's going on in the country is happening. I think what you're seeing is it's just because there's not the availability of product and/or the higher pricing that people need to adjust to that people are going into multifamily on what I think most people would consider to be a temporary basis. And that ultimately, as supply catches up to this demand, both from an existing and a new single-family perspective, I think you'll see people getting back into the game so to speak, of buying a single-family owned because fundamentally, we believe that the demographic shift that's going on as the millennials age and the fact that most older people are aging at home and not giving up their home is just going -- is creating a dynamic where there is the strength for single family. And it's been well talked about that over the past 12 years, we've completely under-invested in single-family. So we believe that provides -- well, right now is not the perfect dynamic just given all the things that we've talked about. We think fundamentally, in the medium and long term that demographically that shift is happening, and it will continue to happen. And as we said earlier, a bit of a pause in order growth would be extremely constructive for the industry to just to catch up.
Operator: Your next question is coming from Ryan Gilbert from BTIG.
Ryan Gilbert: I appreciate all the detail. And I jumped on a little late, so I apologize if you already answered this. But I think typically, we think about gross margin is improving sequentially in the third quarter from the second quarter. Do you think that's still going to be the case in 2021? Or do you think these distributor issues could weigh on gross margin?
Michael Miller: We do think, as we said that the back half of the year, we're going to continue have this frustration, if you will, from the supply disruptions. You're right, though, in believing that in a normal year, which -- that was not the case last year, we would expect improvement in gross margin as we go into the third and the fourth quarter. Absent some of these headwinds that we talked about, both Alpha and distribution, we will expect that, particularly given the pricing environment that we're on there. We would expect that to be the case. But I do think it's kind of helpful to level set that. Again, the adjusted gross margin that we reported in the second quarter of last year, was the highest we've ever reported as a public company and we stepped down in the third quarter and fourth quarter of last year from that. Quite frankly, we're frustrated that our gross margin was down from last year is still at a fairly elevated level. So we feel good about that, and we feel good about as we head into the back half of the year, particularly as we continue to get price realization, absent, again, some of these headwinds that we've talked about.